Operator: Good day, and welcome to The New York Times Company First Quarter 2013 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to your host, Ms. Paula Schwartz. You may begin.
Paula Schwartz: Thank you. Good morning, and welcome to our first quarter 2013 earnings conference call. On the call today are Mark Thompson, President and Chief Executive Officer; Jim Follo, Executive Vice President and Chief Financial Officer; and Denise Warren, Executive Vice President, Digital Products and Services. All of the comparisons on this conference call will be for the first quarter of 2013 to the first quarter of 2012, unless otherwise stated. Our discussion will include forward-looking statements, and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2012 10-K. Our presentation will also include non-GAAP financial measures, and we've provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate website at www.nytco.com under Investor Relations. And now, I would like to turn the call over to Mark Thompson.
Mark Thompson: Thanks, Paula, and good morning, everyone. Since I last spoke to you, I've completed my first full quarter at the New York Times. We've also taken a number of significant decisions. We've developed a new strategy for growth at the company. We've reorganized the company to deliver that strategy and optimize the delivery of our existing businesses. We've announced the rebranding of the International Herald Tribune as the International New York Times this fall as part of our plan to find new audiences and new revenues outside the U.S. And we've begun marketing for sale the New England Media Group. Now in a few minutes, I will set out some of the detail of our new strategy. I'll also provide guidance on how we expect the new growth initiatives to affect our business. But before that, let me talk briefly about our first quarter results. Total revenues decreased 2%, as ongoing weakness in advertising revenues was largely, but not entirely, offset by continued growth in circulation revenues. Operating profit was $23 million, and excluding depreciation, amortization and severance, totaled $50 million, up 3%, largely due to the strength in our consumer revenue stream, coupled with tightly managed costs. Earnings per share from continuing operations, excluding severance and special items, were $0.04 a share, compared with $0.05 in the 2012 first quarter. Paid digital subscriptions totaled more than 700,000 by the end of the quarter, an increase of more than 45% compared to the same quarter in 2012. The rate of increase was less than in the last quarter of 2012, though that is, at least, in part, attributable to the volume used including the presidential election in that quarter. Advertising in the first quarter 2013 remained challenging, though as you will note in our guidance, we're currently seeing some signs of improvement in the second quarter. I spend most of my time since I arrived as CEO of this company working with my colleagues to develop a medium-term strategy for the New York Times. I've looked both at our existing talent base and current operations and structure, and at many potential sources of future growth. We've also listened carefully to consumers, and they're thousands. What you will hear today is not my last word on the subject of strategy, but what I would describe as a significant first step in our efforts to put The New York Times Company on the path to sustainable growth. We plan to grow our business by launching new products and services based on the unique strengths of Times journalism, and by investing in the rapid expansion of existing operations, video and live events are examples, where we're already seeing strong growth. We want to deepen our relationship with our existing loyal customers, but we also want to use a wider family of New York Times products to reach new domestic and international customers. New products under development as part of the strategy include a lower-priced paid product designed to allow access to the Times' most important and interesting stories and a convenient media-rich package for consumers looking for an efficient way to stay informed. Consumer research has suggested very strong demand for such a product. Other new products also at lower price points that would offer deep access and additional content and other new features in specific content areas, such as politics, technology, opinion, the arts and food. And enhance it, it would offer extras at a higher price point to all digital access and print subscribers. Subscribers will likely be offered access to Times' events, the ability to give subscriptions and provide full family access among other incentives. Growing international subscribers is a second key component of our strategy. By the sheer quality and breadth of its journalism, The New York Times has become one of the best known news organizations in the world. We believe that under a unified brand, there's a real opportunity to drive new international revenues, particularly through the acquisition of new digital subscribers. So this fall, the International Herald Tribune will become The International New York Times. We intend to invest in global marketing to build out our international subscription base, using the marketing practices that have helped us build our strong domestic subscription base. We also plan to localize the purchase process, prices and payment methods to make it easier for international readers to subscribe. We expect to attract high-volume users, especially those we term "global citizens," news consumers who have interest or ties outside their home country and who seek an alternative or an addition to local media. The development of a more robust and comprehensive video presence is another strategic initiative, which is still in the early stages of development. We recently appointed a new general manager of video production to lead the efforts to scale our video business to satisfy the demands, both of users and advertisers. Over the past few years, we've been building an infrastructure and core competencies in the video space. And in 2012, we saw significant gains in both the streaming and monetizing of the business. We've already produced a lot of exciting work, including the Op-Docs series, which features short topical documentaries, and a multi-award winning feature, Snow Fall, which chronicle the story of a group of expert skiers caught in a deadly avalanche, enriched with embedded and topographic video. We plan to continue developing video series to build on the strengths of our journalists and our popular sections like arts and culture, style and food. And we'll continue, of course, to invest in video coverage of breaking news events. Just this week, we began to offer free unlimited access to The Times' online video section. We want to significantly increase our video presence, and we'll do this by growing our offerings and broadening our distribution channels. The fourth component of the plan for growth is through brand extensions. We believe that The Times can leverage our key assets of brand strength, marketing prowess and audience quality to generate incremental revenues by selling goods and services that match current reader and customer needs. The planned areas of focus are gains and e-commerce. Last year, we began to expand our successful crosswords franchise, and we've added a sizable number of paying subscribers to our Web and mobile crossword products through minor products enhancements and increased marketing. Based on this experience and market indicators, which point to healthy growth of casual gaming users, especially mobile, we believe there is an opportunity to expand our footprint in this market. While the landscape is fairly competitive, our research points to opportunities, particularly in the intelligent game segment, and our users, products and e-commerce system and marketing capabilities provide a solid and unique starting point for expansion in this area. We've also been successful in generating revenue by selling branded products and services, and industry trends lead us to believe that we can diversify both our product portfolio and services business and further growth -- grow our overall commercial revenue. An expansion of our conference business, bringing the New York Times and IHT conference operations together for the first time is also planned. We've reorganized the company to deliver both these and subsequent strategic projects and to ensure that we're managing our legacy operations as effectively as possible. The new structure is intended to accelerate the delivery of our growth agenda, to provide more efficient decision-making, to unlock innovation, and to provide a special focus on excellence in plotting the future of our Digital and Print Advertising business and our Print Manufacturing and Distribution operations. We organize The Times' operations into 3 groups, each headed by a leader charged with addressing the groups' particular market dynamics and strategic challenges. These groups are: The Digital Products and Services group, led by Denise Warren; the Print Products and Services group, headed by Roland Caputo; and The Advertising group, which we're seeking the right executive leadership. We'll consider both internal and external talent for this position. In addition to the focus on growth, all of these groups and the corporate leadership of the company will also be charged with continuing to manage expenses aggressively over the coming years. Despite the considerable achievements on this front in recent years, we believe there is further opportunity for cost reductions, without damaging the quality of the journalism, on which the company's future success depends. Turning to the impact of the strategy on our business, we expect it will generate strong revenue growth and improved operating profit over the long-term. We estimate operating profit will be negatively affected by $20 million to $25 million in 2013, as a result of these initiatives, with a modest contribution to revenues, while we make significant investments to build out and ramp up. Investments will largely be for product development and subscriber acquisitions, along with significant new capabilities in product management, customer management and distribution. We expect these growth initiatives will be largely based on organic investment, although we will not rule out tuck-in acquisitions of properties that align with our strategy and accelerate growth in key digital segments. I mentioned the quality of The Times' journalism a moment ago. Last week, The Times was awarded 4 Pulitzer prizes for its international investigative and explanatory reporting and for feature writing, more than any other news organization for 2012. In that same week, we saw brilliant coverage by this company's journalists at The Globe, The Times and the IHT of the tragic events in Boston. In a world where so many other news providers are struggling to maintain quality and accuracy, we believe that the gold standard of reporting that the New York Times and existing titles stand for is becoming a critical point of distinction and a competitive advantage. It is the rock on which we plan to build a successful future for the company. And with that, let me turn the call over to Jim Follo.
James M. Follo: Thanks, Mark, and good morning, everyone. Our company maintained positive momentum in its Circulation business in the first quarter, but that incremental growth was offset by the challenges faced in the advertising side. The steady build of The Times digital subscriptions, combined with January's print price increases, managed to partially offset the advertising losses, resulting in total revenues declining 2% in the quarter. That said, revenue challenges were more than offset by cost management in the quarter, bringing operating profits before depreciation, amortization and severance to $50 million, a 3% increase compared to the first quarter of 2012. Circulation revenues rose 7% for the company, and 8% for The Times Media Group in the first quarter, with the monetization of our digital products contributing most significantly to that increase. Circulation revenues also benefited from home delivery price increases at The Times early this year. The Times continues to benefit from improved retention rates for home delivery circulation, following the launch of digital subscriptions, despite these price increases. Further demonstrating the value and place -- the value readers place on digital access, which is provided free for all Times print subscribers, we continue to see growth in The Times Sunday home delivery circulation volume, which ticked up slightly in the first quarter. Against the backdrop of continued growth in Circulation revenue, the difficult advertising landscape did not show signs of abating in the quarter. Advertising revenue continues to be affected by ongoing secular trends and an increasingly complex digital marketplace that is undergoing a shift towards ad exchanges, real-time bidding and other programmatic buying channels. To that point, in the first quarter, print advertising revenues decreased 13%, and digital advertising revenues were down 4%. Running out of results for the quarter, operating expenses before depreciation, amortization and severance decreased about 3%, and on a GAAP basis, were down 4%, both in line with our guidance. We report an operating profit of $23 million. GAAP costs in the quarter benefited from the absence of accelerated depreciation expense that we booked in the prior-year period. Diluted earnings per share, excluding severance and special items, were $0.04 in the first quarter, compared to $0.05 in the first quarter of 2012. Now let me provide some depth on our first quarter results. Total advertising revenues decreased 11% year-over-year, and were down 10% in January, 6% in February, and 17% in March. Both print and digital advertising experienced particular difficulty in March. First quarter print advertising revenues decreased in national, retail and classified categories. Digital advertising revenues also decreased as growth in automotive classified category was offset by declines in national, retail and the remaining classified categories. Overall mobile advertising was challenged in the quarter due to the timing of some campaigns, but has turned around significantly since then, and we expect robust growth for the second quarter. Turning to the Times Media Group, total revenues were down 1% in the quarter, with revenues -- with circulation revenues up 8%, and advertising revenues down 11%. The other revenue line was up 5%, partially due to better performance in Digital Archive business. The overall advertising revenue decline was the result of print losses in all 3 major categories: National, Retail and Classified. Pressure on the national ad category, by far, the largest at The Times, was again responsible for the bulk of the group's decline. While the retail category saw modest growth on the digital side, both Retail and Classified categories were down on an aggregate basis. Digital advertising revenues for Times Media Group trended lower, due to the increasingly fragmented landscape. Digital display advertising continued to experience challenges, including from the programmatic buying issues I mentioned earlier, along with the glut of available ad inventory in the market, causing downward price pressure. While such audience-targeted approaches are affecting premium pricing for advertising environments, such as NYTimes.com, we believe that the Times Media Group, as Mark outlined today, can return to digital advertising growth by making significant inroads in video advertising to substantially increasing our inventory by focusing more heavily on unique custom ad units and by better monetizing our tablet inventory. Even as pay product strategy continues to evolve, The Times digital strategy remains centered on growing its subscriber base, while extending its brand on a wide range of platforms. As of the end of the quarter, the Times Media Group, including subscribers to The Times and the IHT digital packages, had about 676,000 paid digital subscribers, an increase of 36,000 subscribers from the end of the fourth quarter, and more than 45% growth year-over-year. Digital subscription acquisition growth was somewhat tempered in the first quarter, which marked the end of the second year of our pay products, as we do not benefit from the same traffic level associated with the robust new cycle of the fourth quarter. That said, our success to date with digital subscriptions has validated and expanded the market for paid digital products, and our new initiatives will ensure that we remain an industry leader on this front. Moving to The New England Media Group, total revenues were down 7% in the first quarter, where circulation revenues down 2%, and advertising revenues down 10%. Other revenues were down 9%, primarily as a result of lower revenues from direct mail advertising services. In addition, in the second quarter, The Globe will begin to cycle higher commercial printing and distribution revenues, and the associated costs in connection with printing and delivering a local competitor that began last year. Print softness drove the decrease in overall advertising revenues in the first quarter, particularly in the Retail category, which also declined on an aggregate basis. While the Classified category is down overall, Automotive Classifieds saw a digital boost in the quarter, driving aggregate digital classifieds into positive territory. The National category saw the smallest decline for the quarter. As of the end of the quarter, BostonGlobe.com had 32,000 paid digital subscribers, an increase of 4,000 subscribers for the end of the fourth quarter, and more than 50% growth year-over-year. The Globe has also announced that it will raise price -- raise its print home delivery prices beginning next month. As we announced in February, we've begun the process to sell The New England Media Group. At this point, while we can give no assurances, we expect to see a transaction sometime in the second half of the year. We are pleased with the interest we have expressed -- that has been expressed to date. Turning to costs. We again delivered on expense management side in the first quarter as cash operating cost, excluding severance, declined 3%, mainly due to lower compensation costs, raw material expense and outside printing costs. GAAP operating costs declined 4%, as we began to cycle against $7 million in accelerated depreciation in the quarter, associated with the Worcester consolidation last year. We will continue to be diligent in trimming expenses and managing legacy cost going forward, but we will remain prepared to invest where appropriate, especially in light of the strategic initiatives Mark outlined this morning. Raw material costs declined 10% in the first quarter, mainly due to lower newsprint consumption and declining newsprint prices. Looking broadly at the financial impact of the new initiatives, while our strategy is designed to ultimately have a positive impact on operating profit, the effects will not be immediately evident. In fact, we expect the contribution to operating profit connected to these initiatives will not move into positive territory until late 2014. It will not have a -- it will not see full-year growth until 2015. That said, we expect some of the initiatives will begin to generate new revenues this year. Moving to the balance sheet. At the end of the first quarter, our cash and marketable securities totaled $866 million, exceeding total debt by approximately $168 million. Just to reiterate what we said last quarter, while there's been a lot of focus in recent months on our significant cash balances and its potential uses, given the continuing challenges facing the advertising environment and our desire to retain maximum flexibility, we feel that maintaining a conservative balance sheet remains appropriate. In turn, we do not believe it is the best interest of the company to restore dividend at this time. As we have said, one of our main priorities for cash is managing our pension-related obligations. To that end, in the first quarter, we made about $61 million in largely discretionary contributions to certain qualified pension plans, with our mandatory contributions nearly met for the next several years and our underfunded GAAP solely diminishing, we are likely to take a pause in making any additional discretionary contributions this year as we monitor interest rates. Moving to our outlook. Second quarter circulation revenues are expected to increase in the mid-single-digits as we expect to see continued benefit from our digital subscription initiatives, as well as for the most recent Times price increases and the planned increases at The Globe. In the second quarter, overall advertising revenue trends are expected to be somewhat better than the first quarter levels. And second quarter operating costs are expected to decrease in the low single-digits from the same period last year. And with that, we'd be happy to open it up for questions.
Operator: [Operator Instructions] And we will take our first question from John Janedis with UBS.
John Janedis - UBS Investment Bank, Research Division: I'm wondering, Jim, does the start of this flow-in during the third quarter and based on your comments, is it fair to say there'll be some form of loss, maybe for the first half of '14 as well then?
James M. Follo: I think we'll actually begin to see some costs being incurred in the second quarter. In fact, it'll be modest, but it'll be several million dollars. It's already embedded in the guidance we gave on costs in the second quarter. I think we're going to prefer to keep our guidance on economics really limited to 2013. We're too early to start talking about that, but I did say in my remarks, we expect to see profitability gained in the latter part of 2014.
John Janedis - UBS Investment Bank, Research Division: Okay. Fair enough. And maybe Denise, we haven't seen the kind of slowdown you reported in the Print business on the ad side for a couple of years. And I'm wondering, as you had discussions with the advertisers to maybe start the year, did you get a sense that incremental portions of the budget were maybe being taken out of print into other medium? And was there any change in your annual rate card relative to trend?
Denise F. Warren: I'll answer the second question first. No, rates have sort of remained relatively stable. The biggest reason why we saw the impact we did in the first quarter was really a function of 2 categories, which are actually very large contributors to our overall base of business in the first quarter, the Entertainment category and the Financial category. And let me just take a moment to explain each. On the Entertainment front, the results are really impacted by, quite frankly, a non-existent Oscar race. I don't know if you recall, last year, the Oscar race was rather strong; this year, it was pretty lackluster. That has a material effect on our business. In addition, we are seeing less spending from the studios on sustaining campaigns as their release windows shorten. Financial was impacted by steep declines in banking, investment in the Credit Card segment. So those were really the primary reasons for the results in the first quarter. And I do want to mention that we are seeing a different trend in the second quarter. It is a better trend, as Jim had mentioned in the guidance for both Print and for Digital.
John Janedis - UBS Investment Bank, Research Division: Is that trend more broad, meaning, does it also include entertainment advances or is it the other categories getting better?
Denise F. Warren: It's coming from everywhere.
John Janedis - UBS Investment Bank, Research Division: Maybe one last question. Mark, how do you size the addressable market for the lower-priced paid product?
Mark Thompson: Without going into detail, we did extensive consumer research, and we think it's substantial. The potential market is in the hundreds of thousands range, certainly.
Operator: And we will now take our next question from Craig Huber with Huber Research Partners.
Craig Huber: I have a few housekeeping questions and a follow-on. What was your Daily and Sunday circulation volume change year-over-year for both of your flagship papers, please?
Denise F. Warren: Craig, it's Denise. For The Times, Daily was down about 6%; and Sunday, overall, declined around 2%. I do want to mention that Sunday home delivery did rise slightly, marking the fourth consecutive period of growth for Sunday home delivery. And again, I'll just remind you that we did raise home delivery rates in January.
James M. Follo: And on the Globe, Craig, Daily units were down about 10%, and Sunday was down about 7%.
Craig Huber: Okay. And can you also give us some metrics on newsprint and consumption average price percent change year-over-year?
James M. Follo: I'll quote the resi number. The resi prices are down about 4% for the quarter. We think that's probably likely to carry forward for a good part of the year, but I can't be precise. So if you look at -- our total raw material costs were down about $3.3 million, that would put about half of that being attributed to price and the other half to consumption.
Craig Huber: Okay. And then also your corporate costs, because you don't break it out anymore in the press release, what is the difference there versus a year ago, please?
James M. Follo: The number is -- I'm not sure -- I may have -- I'm not sure I have it year-over-year, but the number for the quarter is about $9 million. We think that's a pretty good run rate for the rest of the year.
Craig Huber: Okay. And then also your commentary please on April. What you're seeing right now, is it somewhat better? But you think it's down at a similar rate to the fourth quarter or even perhaps even better than that?
Denise F. Warren: You're talking about advertising, Craig?
Craig Huber: Yes.
Denise F. Warren: Both on Print and Digital. We're actually seeing an improved trend relative to the fourth quarter on both Print and Digital Advertising.
Craig Huber: So better than -- down 8.3% excluding the extra week. You say it's tracking even better than that, you're saying?
Denise F. Warren: Yes.
James M. Follo: On a combined basis.
Denise F. Warren: On a combined basis, yes.
Craig Huber: Okay. And my last question, given the roughly $900 million of cash on your balance sheet and your unwillingness, I guess, to buy back stock or implement a dividend or a one-time dividend, forgive the question, but are you guys considering taking your company private?
Mark Thompson: No, we're not considering taking the company private.
Operator: And we will take our next question from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Could you expand a little bit or just a bit more color on this new lower-priced pricing strategy for the Digital subs? I guess I'd love to hear your thoughts about how it may prevent or how it won't cannibalize existing print subscribers or get existing digital subscribers maybe to sort of come down a bit to the lower-priced subscription model. I guess any color on that would be great?
Mark Thompson: Alexia, I'll talk briefly, and then I'm going to hand it over to Denise, who's going to be driving us forward for this. Really important to say that, as I said in my remarks, we're talking about lower-priced products, but we're also talking about an enhanced tier, which will be a higher-priced product, so it's a spread of prices. The key discovery in our research has been the people who get all digital access really want all digital access; they really want to be able to get to every part of The Times' digital offering. And we think, therefore, although obviously, we're going to think extremely carefully about issues of cannibalization and spin down and so forth. We think there's a very clear proposition, which works for a large and growing number of subscribers, with complete access. We have identified a very substantial number of people who are very interested in subscription to The Times, but at a somewhat lower price point. And with the recognition, that will mean less than complete access. And that's the core, really, of defining and why we believe there's a way of coming in, if you like, at a different point in the demand curve to reach a different segment of potential subscribers. But let me pass you over to Denise.
Denise F. Warren: The only thing I would add to what Mark said is that there's also strong demand for some niche products, as he also mentioned in his remarks. So we think there's an opportunity for that as well. So it's a range of products that will be offered at a lower price point, Alexia.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Okay. And just a couple more. Just following up on your earlier comments as well and a different topic on further opportunities for reducing the cost. I guess, any color you can give on where we could see that coming from? And lastly, on your dividend comment, understanding that it's not a near-term event in terms of reinstating the dividend. Do you have any, I guess, any sense of when that might come back under consideration? I mean, should we assume that's not really a 2013 announcement or maybe back on the table next year? And I guess anything there?
James M. Follo: Alexia, I would say, in the first quarter, our costs were down $11.1 million. It was a pretty broad list of categories. I would expect that to be the case as we go forward. Now -- so I don't expect it to come really heavily from any one particular area, and we'll just continue to be tightly managing across a broad spectrum of cost categories. I will just say, as we get deeper into the year and we start spending against the initiatives, the mix will change, but kind of the core, we kind of look at it like the core business and the growth business, and I think when we look at the core business, you would expect to see some pretty good, consistent, maybe not quite at the $11.1 million range of cost takedown, but you'll see kind of us being pretty aggressive when managing that base of costs. But again, I don't think there's any one area that really sticks out as likely to contribute the most. I would say, on the dividend, I think we're just going to maintain some flexibility. We're going to keep saying what we've said for the last couple of quarters here, is as long as the advertising market remains as volatile as it has been, like we do, we don't feel like we need to be debt-free. That's not what we're saying, but we do feel like it at this moment, we feel like where our balance sheet right now feels right, just given the market that we're in, we'll continue to evaluate it without putting a timetable on it.
Operator: And we will take our next question from Kannan Venkateshwar with Barclays Capital.
Kannan Venkateshwar - Barclays Capital, Research Division: Jim so not to beat a dead horse, but on the building front, what are the priorities for the cash? I mean, outside of dividends, you obviously have your debt maturities and you have your pension obligations. But just to understand the thought process, your debt here in terms of the coupon is pretty cheap. I don't know if you can come down to the market and raise something cheaper. And on the pension front, your cash contributions obviously beyond a particular level than you all would contribute, it actually hurts shareholders because if the rates move, then you over-contribute and then you cannot get that cash back. So to that extent, sitting where you are right now, how are you thinking about the priorities for the cash going forward?
James M. Follo: Well, let me say, in my remarks, I said we were going to take a pause in contributions to our pension plan. We acknowledge that you don't want to get ahead of the underfunded balance by putting money in and have interest rates move in a positive direction. So we're going to take a pause there. We acknowledge the fact that we don't want to get overfunded money trapped in the plan, and that is not an efficient use of cash. So we acknowledge that. And we actually feel good about the progress we've made on the pension front, but it is still -- we went into the year with about $396 million underfunded balance, pretax. I think the market has helped us. I think interest rates have probably helped us. So it's probably down below that, as we speak now, but haven't updated that. Look, we've become a smaller company. Our EBITDA has gotten smaller through the sale of Regional Group, through the sale of About. We're obviously exploring selling The Group, and that means that the debt level we carry at $700 million, relative to existing EBITDA, we think is too high. So we've clearly earmarked some of that cash for debt repayment. And we'll explore opportunities to retire some of that debt ahead of its maturity, but the return on that sort of investment is not terrific. But we do feel like -- we feel like that level of debt relative to the size of our business is too high. I mean, that's all we have to say and I'll just refer back to my earlier remarks.
Kannan Venkateshwar - Barclays Capital, Research Division: Okay. And then the advertising front, the other thing I wanted to check was when I look across some of the classified categories, for example, and I compare that to some of your peers, your trends in general across most of the categories, not just classified, seem to be worse, partly, I guess, that's a function of the revenue mix. But is there also some element of concentration from 1 or 2 customers, which is also playing into this?
Denise F. Warren: Not that I can think of. I mean, one of the issues, if you look at real estate, it's been a very -- which is one of our larger classified categories, it's been a very tough market in New York, because there really hasn't been any new construction. That is actually starting to change. So I think that will impact our results going forward, but I think, relative to others that might be part of the explanation for the difference in performance.
Operator: And it appears there are no further questions at this time. Ms. Schwartz, I'd like to turn the conference back to you for any additional or closing remarks.
Paula Schwartz: Thank you for joining us today. If you have any more questions please call us. Thanks.
Mark Thompson: Thanks, everyone.
Operator: Ladies and gentlemen, this concludes today's conference. We thank you for your participation.